Claudia Kellert: Good morning, and a very warm welcome to our conference call today. Today, we want to give you some more insights about our business development in the last year and our expectations about 2025. The call will held by our new CEO, Andreas Klein; and our well-known CFO, Thomas Dippold. Andreas Klein has been CEO since 1st of January this year, but he joined SGL in October '23 as Head of our largest business unit, Graphite Solutions. And so you know the company, the structure and our most important markets very well. So, let's start. I hand over to Thomas Dippold, who will give you some more details about fiscal 2024.
Thomas Dippold: Thank you, Claudia. It's my privilege and my job to guide you through the figures of 2024. First of all, I think we can summarize the performance of the year 2024 is we kept our guidance. I think that was quite a bit of a challenge. We precise our guidance throughout the year a little bit where we said we will land at the lower end of the guidance, and this is exactly what we have achieved. You can see it here on this page. We promised sales on the level of previous year. we almost reached that. We are 5.8% down compared to previous year, now reaching €1.26 billion. This is €62 million less than the year before. A large part of it is also currency, and we also have some €4 million, €5 million portfolio effects, which we had still in 2023 with some remains when we sold Gardena and Pune business. So, there were €4 million still in there. But in fact, we are roughly 5% down -- all business units, except Process Tech had lower sales compared to the year before. This also shows that our business environment in the year 2024 was quite challenging. However, we still made it to keep our EBITDA pre level roughly on the level of the year before. We now reach €162.9 million. As I said, lower end of our range. The lower end of the range was €160 million. So we are quite well above what we guided. And our sales dropped not in the same dimension as the sales did because we anticipated that, and we proactively managed our cost and try to keep the profitability up. So, our EBITDA pre dropped 3.3%, which is €5.4 million. And I think that's a quite remarkable achievement given the volatility and the development in the markets. The sales split, which you can see here on the right side on Slide number 4, remains almost unchanged. Rraphite Solutions by far the strongest business unit in our portfolio. The only thing that's maybe worth mentioning is, and I come to that later when I talk about the business units. Process Tech is now the third biggest or if you can turn it around, second smallest business unit. It has always been the smallest by far, but with their development, which is really, really fantastic and remarkable, they now over to Composite Solutions, which also took a hit because there, a big and very profitable contract has been terminated, but we announced that also in previous calls. So, to summarize, three out of four business units with declining sales in the year 2024, one with Process Tech really going into the other direction. And when you look at the profitability, we come to that, the product mix effects and the EBITDA margin could kept stable or even be slightly increased. We now have an EBITDA margin on a group level of 15.9%. I think this shows that in a difficult environment, how we manage our costs and how we manage our profitability. Now moving on to our largest business unit, which is Graphite Solutions. There, we see a decline in our overall top line with €26.7 million down, now reaching €539 million, which is a decline by almost 5% -- when you look back into the development of the year 2024, then you saw a positive development in the first quarter. You saw almost flat development after 6 months. And then especially in the second half of the year, sales and also profitability declined quite a bit. What is the reason for that? As we anticipated, as we announced, it's the very sluggish and slow development of our electric vehicles sales, which is the end market, which we supply mainly with our ESO and silicon carbide products. And in the whole value chain, a lot of inventory has piled up. And that was the reason why our customers, which are the chip and wafer makers, were very hesitant to place new orders and give us new sales. We try to mitigate that by acquiring new orders or new customers in the silicon market and the LED market. However, the profitability there is not as high as it used to be in the silicon carbide market. But still, we managed to get at least our capacity filled to a large extent. However, in the end, our semiconductor and LED business declined by 4.3% year-on-year. Industrial also went down by more than 5% and solar, which is maybe the most striking development, but this is, in the end, a very small business for us, declined by even 26%. As I said, EBITDA could be kept almost stable. There we have a decline of 2%, which reflects €3 million. We are now reaching €131 million flat. The year before, we had €134 million. So, this is a €3 million decline. That also clearly shows a margin resilience in our Graphite Solutions business and how quickly our experts in this business can adopt to changing environments. But in the end, the margin even increased from 23.7% to 24.3%. I think this really shows how adaptable Graphite Solutions is to very volatile markets as we've seen in 2024. As I mentioned, Process Tech here, which you can see on Slide number 6, is really, really on a very good track. They are growing by 8%, which reflects a €10 million growth, now reaching €138.3 million in the top line compared to €127 million the year before. This is just a continuation of the good development that they have. They have a very good parts and service business. They're good in project business, and they're very good in doing aftersales business with servicing the already installed capacities. And they also do it on a global level. We have some footprints in the United States. We have footprints in Asia with China and Japan. But also in Europe, we have a very stronghold, which we're trying to protect. And all regions contribute to the growth. And this is a really balanced development that we see there. And we still live from a very good order book. However, at least since Q3, we see a declining book-to-bill ratio there. So, we're eating up a little bit now also in 2025, our good order situation, but we are also confident and fighting back that we try to acquire new projects and try to penetrate our customers in order to mitigate that. When you look at the profitability, there you see almost a 50%, percent jump in the profitability. The profitability, the EBITDA pre went up higher than the sales. I think that's really a very remarkable situation, €10.4 million is the increase of the top line, €10.6 million is the increase of the bottom line. That clearly shows what kind of pricing power, but also, yes, market penetration, our experts in Process Tech now really show. We really focus on -- very much on the high-margin service business, but we also won a couple of very attractive large-scale projects in 2024. And now the margin reaches 23.9%. This is only a tiny difference now to Graphite Solutions. This really shows how profitable our products are and how much demand from our customers for process -- for products that our process technology experts sell. Having said this, I come on Slide number 7 to the problem child of our group. On the 18th of February, we informed you and the whole capital market that we are going to restructure our carbon fiber business. Why did we announce that? You've probably also followed us that almost 1 year ago, it was February 2024, we announced in the capital markets that we're going to evaluate all options for this business unit. And after roughly 1 year, I think we at least can say that a sale as a whole for the business unit is rather unlikely, and this is the reason why we decided to restructure this business unit, and this includes the closure of unprofitable sites along the way. And this is exactly what we're going to execute in the next weeks and months. Because the development that you see in 2024 for our carbon fiber business led to a decline in sales coming from roughly €225 million in '23 to €210 million, if I round it up in 2024, which is a decline by almost 7%. And this is just a continuation of the very difficult environment our carbon fiber business unit is in. Almost all markets see declining sales. We see a continuation of global overcapacity, mainly from China, and they are pushing heavily their products into Europe. And carbon fiber in the end is a commodity. There's hardly any differentiation that you can say nobody will identify a carbon fiber pool. This must be the one from SGL, and this is a Chinese product. There's hardly any differentiation for us, and we see a very negative price trend because of the overcapacity, and it's just been pushed into the market. And as we try to protect our cash in 2024 to a large extent, we idled a big chunk of our capacity in order to reduce the stock of inventory that we had. We could reduce inventory in carbon fiber quite significantly by over 20% and you have to bear in mind that the sales declined as well. So this was the reason why we idled a lot of capacity and this fixed cost that come from that couldn't be absorbed. And this is the reason why our EBITDA took a deep hit and is now reaching minus €11 million. You have to bear in mind that in the minus €11 million, there's already included the contribution from our joint venture with [indiscernible], where we make the carbon brake disc. They contribute with €15.9 million in that. And also, to be very honest, that also means that the operative loss of our carbon fiber business stands for almost €27 million. And I think this is the clearest sign that we need to restructure this business the soonest as we couldn't sell it, which we tried quite intensively in the last 12 months. And that was also given the outlook for the years to come, the reason why we had to impair, as you remember, because there was another ad hoc message, which we published later in autumn 2024 that we had to impair our assets with €76 million in the carbon fiber business because the market expectation and the business case that we had in our business plan seem to be too optimistic at that point of time. Coming to Composite Solutions, our last business unit. There, we see a decline in top line by 19% and the decline in the EBITDA by 18%. So this is almost in line. Why do we see a decline in sales and also profitability and now reaching €126 million, after reached more than €150 million the year before. That is the aforementioned termination of a very profitable automotive contract in the United States. This contract has been terminated end of Q1 2024. So, we had some, yes, initial sales in the first three months of the year, but since then, sales dropped quite dramatically. We negotiated with the OEM who is behind it, a termination fee, which has been paid as we announced end of the year. In fact, it was end of December, and we got €3 million as a onetime compensation payment, which is, of course, reflected in sales, but also profitability. But for you, also when you try to put it into your models, this is a onetime payment. This cannot be repeated in the years before. So this is -- yes, the auditors confirmed that. A breakup fee in automotive is not so unusual. So therefore, it's operative. But the thing is it can't be repeated. That's the point. And this project is gone. And the €126 million that you see here in sales is, so to say, the new normal or the new level where we do business also in the years to come. We still see a stable volume in the luxury car segment where we make carbon composite parts -- carbon composite parts. But the overall demand in automotive, and you know that we serve mostly electric vehicles, at least up to now, we see a lot of delays in new models. We see a lot of volatile calls from our customers. It was a difficult year 2024, and it's going to be a difficult year 2025. This is exactly what we see, and this is also reflected in our profitability. However, when you look at the margin, the EBITDA pre margin is almost stable with 14.6%. It even went up slightly compared to the year before. I think it's a quite remarkable margin, what we see there for our automotive supplier. However, the business environment, as for many in this industry, is just difficult. Coming to corporate, Slide number 9. I think that's fairly easy. I think sales is mainly rent, but also when you look at 2023, there we have also, as I mentioned in the beginning, some remaining sales for Pune and Gardena. This was €4 million, which we put into corporate. So, if you deduct it, then this roughly €15 million is a new normal. Sales went up in 2024 because in the second half of the year, we already rented out the new building to our BCCB joint venture in Meitingen, and therefore, they paid some rent. So, €15 million is more or less the top line. Why did the EBITDA pre improve by almost €10 million there? First of all, Gardena and Pune also contributed negatively with €1 million, which is no longer than the case in 2024. And we have significantly lower costs due to our cost optimization measures. So we have indirect spend reduced drastically and our variable bonus provisions for the years to come also have been reduced quite drastically. And with that, we now reached minus €8.3 million EBITDA pre for corporate, which is an improvement by more than €9 million compared to the year before. Here on Slide number 10, I think you see our striving for excellence. And you remember that we have a margin over volume initiative, which we have set up in the years before. And I think this is perfectly reflected in this slide, and you see how 3 out of 4 business units and businesses really go into this direction where we could continuously increase our margin and really make our customers aware what kind of quality and value for money they get when they buy from SGL. This is the case for Graphite Solutions, especially for Process Tech and also Composite Solutions, which now consolidate on this high level, which is comparatively high for automotive Tier 1 supplier. But you also see how our carbon fiber business operatively is doing where the margin is declining heavily. And why is that? In the years up to 2022, we still have the BMW take-or-pay contract, which was in there, which guaranteed us a certain margin. But after that, you see, yes, with the exit of the automotive market and without this very favorable contract, how badly our businesses and industries, mainly the wind market now perform. And this is how much this restructuring, which we announced is needed in order to optimize our results, but also cash flows, especially in this business unit. And last, but not least, here on Slide number 11, in my section, I would briefly also inform you about our major key KPIs. which, yes, we have achieved in 2024. Yes, we have seen a negative net result with minus €80.3 million compared to €41 million the year before. Both years, 2023 and 2024 were affected by impairments both in carbon fiber. Starting with 2023, I think that's the easier year. We had a €46 million depreciation in carbon fiber in June 2023. So, if you take out this one-off effect, then the net result would have been roughly €85 million. And in 2024, the minus €80 million include, which you can see in a comment on the right side, restructuring costs and the impairment of in total €118 million. So if you take this out, I know this is a ballpark figure, and this is an artificial calculation. But our operative result, this is what I clearly want to say is positive. Only thanks to the restructuring cost and the impairment, our net result is negative. If you exclude all the impairments and restructuring costs, which we saw because also our graphite anode material has been restructured in 2024 with some minor issues compared to carbon fibers. This is, I wouldn't say neglectable, but the dimension is far less compared to the €76 million, which we saw in autumn, then our net result would have been positive by roughly €40 million. And we've seen that throughout the year every quarter 1, Q2 and also Q3 showed positive net results, only Q4 when the big chunk of the restructuring costs hit us, then it became negative. Same is our free cash flow. Our free cash flow is positive. It's roughly €40 million compared to €95 million the year before. This is thanks to the fact that in 2023, we had a net inflow of customer down payments of more than €50 million and the sluggish development of our silicon carbide and electric vehicle business as an end market came to a slowdown as well. And this is the reason why it declined in this dimension. However, a free cash flow of roughly €40 million, given the circumstance that we have, I think this is something what we are very proud of, and we could prove to you that SGL is making money. And you can also see that, which is, I think, the best indicator for cash generation. Our net financial debt could be reduced. So also, after financing activities, our net financial debt went down by 6% and now reaching very healthy €108 million. This is a leverage ratio of 0.7. And this is also reflected in our equity ratio then because of the low debt that we show of 41.5%. This is super stable. And our ROCE even increased by 0.1%, now reaching 11.4% -- that also clearly shows that we earn our cost of capital. Again, I think I can summarize the year 2024, difficult environment, and we did the best in order to keep us above the line. And I think we've achieved that quite well. The next task that we have to do is restructuring carbon fiber. And now the determining factors for 2024 for that, I would like to hand over to Andreas to give you more insights on what you can expect from us in 2025.
Andreas Klein: Many thanks, Thomas. And from my side, also a very warm welcome. It's a pleasure for me to be the first time in this call and talk you through the outlook for the 2025. We have 2 major topics in front of us. The first topic is indeed the weakening of the electric vehicle and hence, silicon carbide market. And the second topic, like addressed already by Thomas, is the restructuring activity around carbon fiber. This first slide is already known from previous calls, and it shows you on the left side, the application split of our biggest business unit, Graphite Solutions accounting for around about €0.5 billion in sales. And you can see almost half of that business is driven by the semiconductor and LED market segment. To your right, comparing the years 2022 and 2023, you can see how nicely the SIC business has developed in absolute and in relative terms in that business growing to 62% share and growing that market segment to more than €250 million in sales. For 2024, this development has now stopped, and we are site waring for the market segment, semi and LED. And this is, if you look in more detail into the year, really a first half, second half split. In the first half, the growth was still intact, and that business was growing. In the second half, we have seen a reduction of demand from our customers and hence, a slower development for the SiC in particular. Why was that the case? You see that in the next slide, where we look at the electric vehicle development quarter-by-quarter for the years 2023 and 2024. As you know, EV represents 70% to 80% of SiC demand. So it's the key industry or the key driver for our business in Graphite Solutions. And we have seen a major drop early last year, falling 26% Q4 '23 to Q1 2024. And the recovery we have seen then over 2024 quarter-by-quarter was mainly driven by China. In total, we are short of around 2 million EVs per quarter compared to the growth projections the industry and our value chain had 2 years ago. With the delay in sales, we see also a massive delay of new EV model launches, and that's of particular importance as the SiC as a new high-performance technology is heavily linked to new model introduction. And so that's another factor impacting our value chain and the SiC development. The long-term importance for SiC remains unchanged. The performance is what we will need in the future and what electric vehicles will need in the future. So that long-term outlook is intact. As a result of these developments, the midterm outlook for electric vehicles in that view, the battery electric vehicle has been adjusted from previously 30% CAGR to now 20% CAGR. And on the back of that adjustment of midterm growth outlook, our customers and the whole chain really has started to work on inventories and inventory management has turned out to be the measure of the second half and also this will be the topic of 2025. Looking at SGL, this inventory measurement on our customer side and the temporary slowdown in SiC means we also have to adjust to these changes. The customers confront us with a lower growth outlook, their inventory management activities and hence, reduced forecast and orders. The good thing is that we are very well positioned with our portfolio with, yes, high-performance products and also with our contract portfolio. So, we go into these customer discussions in a partnership and long-term oriented approach, but with a strong backing from our market positioning. Nevertheless, Thomas addressed that point already, we go into strict cost management. And we also adjust CapEx spend for new capacity increases as needed depending on the new forecast we receive. In the mid- to long-term run, this development in the SiC market will, for sure, also bring up new opportunities because the SiC penetration in other markets beyond EV will increase based on a lower cost position of SiC compared to other wafer materials. If we look at the second big 2025 topic, it's for sure, the restructuring activities we announced on 18th of February for our Carbon Fibers business. It was not achievable to sell the complete business unit. So we are now going into individual site-specific activities to reduce the loss-making part of our Carbon Fiber business and focus on what we consider the profitable core of that business activity. Included in the site-specific measures, we will develop is also the closure of unprofitable assets and complete sites. The expected onetime cash effects are €50 million for 2025 and 2026. It's important to underline again that the joint venture, BSCCB, is not included in the restructuring activities of our carbon fiber, although they are part of the business unit Carbon Fiber. Yes, with these 2 major topic blocks and also action areas, if we look into 2025, the slogan is really safeguard sales and profitability, and we focus on 2 dimensions. It's the sales side, looking broader into markets to achieve growth outside the SiC and EV, which is in a temporary slowdown. And we scout, of course, for new applications where our premium product can add value to our customers and markets. This is supposed also in the short run to fill available capacities and to generate the necessary utilization in our plants. The second element is cost efficiency. We have already implemented since end of last year, very strict cash management and also cost management. Thomas mentioned the indirect spend reduction activities, but also, we work on optimizing our headcount setup and the structures of SGL in total. In terms of the guidance, we can develop from this outlook and these activities. We look on the sales side on a slightly below previous year level. and we guide the market with an EBITDA pre for 2025 in the range of €130 million to €150 million. The semiconductor market is expected to remain on a low level in 2025. And the demand recovery really depends on the development of the EV sales numbers and yes, also the stock management activities in the chain. Demand from automotive, which is very important also for our Composite Solutions business is associated with high uncertainty from the industry, from underlying demand, but also from tariff discussions from global trade and regulatory activity, especially in the EU. For GS, as our biggest business unit, we expect a pickup earliest in the second half depending on semiconductor and EV developments. PT will continue to develop in a very strong way. Nevertheless, we expect sales and earnings to be below the record year 2024. For CF, we started the restructuring, and that will be the key activity and Composite Solutions will depend on the automotive industry, like I already mentioned. In summary, Restructuring of the business with Carbon Fibers is a key activity 2025. The remaining business of SGL beyond this restructuring activity is advanced materials with innovative and customer-oriented products. We have excellent market positioning in most of our businesses, and we benefit from megatrend digitization, renewable energies and climate-friendly mobility and also the current slowdown of SiC is a temporary one, and we consider the long-term trends in that important market segment to be intact. This also means we will continue with selective investments to increase production capacities wherever growth kicks in and wherever we can develop the business further. Thank you very much for your attention. I hand back to Claudia, and we are looking forward to your questions now.
Claudia Kellert: Yes. Thank you. Now we can start with the Q&A. So, the moderator will give you some more details how to handle it.
Operator: [Operator Instructions] Yes, we have the first question coming from the line from Lars Vom-Cleff Deutsche Bank. Mr. Cleff, we can't hear you anymore.
Lars Vom Cleff: Can you hear me now?
Operator: Yes, but a bit depressed.
Lars Vom Cleff: I am sorry.
Operator: No, a bit -- volume was a bit down, but now we can hear you.
Lars Vom Cleff: The first, you mentioned strict cash management for this year, which does not really come as a surprise. Last year's CapEx, €97 million. Would you be willing to give us a hard figure that we could put into our models for this year already, especially given the muted silicon carbide outlook?
Thomas Dippold: Lars, this is Thomas. No, the only thing that we really refer to at that point of time is our cash flow guidance where we said this is going to be positive. This is what we wrote. And Andreas mentioned that we have some one-off effects. And of course, you can't consider them as kind of free, but they won't be repeated, some restructuring costs, cash effects for carbon fiber, which sum up to €50 million over the course of the next 2 years. Yes, we have some investments to be made in 2024. And yes, also received some customer down payments from -- that still need to be implemented into capacity. And of course, most of our CapEx isn't just something which can be done in a spot business. So the installation of the equipment takes a while. There will be some major CapEx, but most likely not on the level as we've seen in last year.
Lars Vom Cleff: Perfect. That's already helpful. And then maybe one question for Andreas, given his background and that he now took over the steering wheel for the group as well. You mentioned in your presentation that importance is unchanged, and I do not doubt that, to be honest. But so far, you have been one of the very few companies that have been able to produce synthetic graphite in the purity needed by Si producers. Now I assume that Asian competitors are catching up very fast. And secondly, we also see your business partner, Wolfspeed, struggling currently. So I would argue that your sweet spot disappears faster than any one of us expected before. why you were not yet really able to benefit from the oligopolistic market structure we saw. Having said that, I would be interested in your view and how you would argue against that.
Andreas Klein: Lars, thanks for that question. It's indeed a very interesting one. I think it has various dimensions. The first thing is it's really about supplying one-stop shop and the full portfolio to our customers because, as you know, for customers, it's a system that delivers the overall performance. Then it's really, yes, the quality level and the consistency of products we are delivering, and that goes back to a lot of experience. And this is where we, as a long-term established player with strong partnerships to our customers have, for sure, a very valuable advantage. And the third dimension I would like to address is really the growing requirements from wafer production. And so we grow together with the customers. We never stop. And this is, of course, something we build on based on our established footprint.
Claudia Kellert: So, I couldn't see any more question in my IT tool. But if you have a question, use the opportunity to ask the Board about the market or our estimates for 2025. So then thanks so much for your participation. If you have additional questions, please contact the Investor Relations team, or myself. You find the presentation and our annual report on our web page. Thanks once more, and have a nice day. Thank you, and goodbye.